Operator:
Sandeep Mahindroo:
S. D. Shibulal: Good morning everyone. Let me take you through the financial performance. Q3 has been good for us. Our revenues in US dollar terms we were 6.3% including Lodestone and 4.2% without Lodestone sequentially. Our operating margin in the quarter was 25.7%, including Lodestone and at 26.1% excluding Loadstone. We have done well this quarter despite the negative environmental headwinds for the [phase] during the early part of the quarter. We are also able to maintain our operating margins despite the base increases that we rolled out for offshore in Q3.Our pricing has gone up by 1.8% during the quarter, primarily because of change in business mix. CSI, consulting and system integration, as a percentage of revenue increased from 30% to 31.2% in Q3. We see pricing to be stable as we go along. Volumes have increased by 1.5% during the quarter. Our integration with Loadstone is going well. I had mentioned earlier, we expect this acquisition to be EPS accretive over the next 18 months. We would have an additional quarterly charge of approximately $8 million on account of deferred compensation and amortization of intangible assets.As we mentioned earlier, we plan to institute the onsite wage increase of 2% to 3% in Q4. This will impact our operating margin by approximately 1% in Q4. In terms of exchange rate the average rupee has appreciated by 0.5% over the last quarter. We have assumed a 54.50 rate as an exchange rate for Q4 purposes. On hedging front, we have hedges of 1.1 billion as of date.We continue to generate strong cash from operations. You would be happy to note that our operating cash flow is at 103% of net margins. Our DSO is at 62 days as against DSO of 55 days last quarter in spite of it being a challenging quarter. Though our Q3 has been an exceptionally good quarter, challenges remain in terms of time to deal closures and ramp up. We usually have visibility of 95% to 96% at the beginning the quarter, and Q4 is traditionally a soft quarter for us. We need a sequential growth of 2.8% to achieve our earlier guidance of 5%. Our revised guidance including Loadstone now stands at 6.5%. Our EPS guidance remains unchanged at $2.97. Though there are challenges, we remain cautiously optimistic about meeting our guidance.With that I would like to open it for questions.
Rajiv Bansal: Good morning everyone. Let me take you through the financial performance. Q3 has been good for us. Our revenues in US dollar terms we were 6.3% including Lodestone and 4.2% without Lodestone sequentially. Our operating margin in the quarter was 25.7%, including Lodestone and at 26.1% excluding Loadstone. We have done well this quarter despite the negative environmental headwinds for the [phase] during the early part of the quarter. We are also able to maintain our operating margins despite the base increases that we rolled out for offshore in Q3.Our pricing has gone up by 1.8% during the quarter, primarily because of change in business mix. CSI, consulting and system integration, as a percentage of revenue increased from 30% to 31.2% in Q3. We see pricing to be stable as we go along. Volumes have increased by 1.5% during the quarter. Our integration with Loadstone is going well. I had mentioned earlier, we expect this acquisition to be EPS accretive over the next 18 months. We would have an additional quarterly charge of approximately $8 million on account of deferred compensation and amortization of intangible assets.As we mentioned earlier, we plan to institute the onsite wage increase of 2% to 3% in Q4. This will impact our operating margin by approximately 1% in Q4. In terms of exchange rate the average rupee has appreciated by 0.5% over the last quarter. We have assumed a 54.50 rate as an exchange rate for Q4 purposes. On hedging front, we have hedges of 1.1 billion as of date.We continue to generate strong cash from operations. You would be happy to note that our operating cash flow is at 103% of net margins. Our DSO is at 62 days as against DSO of 55 days last quarter in spite of it being a challenging quarter. Though our Q3 has been an exceptionally good quarter, challenges remain in terms of time to deal closures and ramp up. We usually have visibility of 95% to 96% at the beginning the quarter, and Q4 is traditionally a soft quarter for us. We need a sequential growth of 2.8% to achieve our earlier guidance of 5%. Our revised guidance including Loadstone now stands at 6.5%. Our EPS guidance remains unchanged at $2.97. Though there are challenges, we remain cautiously optimistic about meeting our guidance.With that I would like to open it for questions.
Operator:
Joseph Foresi - Janney Montgomery Scott:
S.D. Shibulal:
Rajiv Bansal:
Joseph Foresi - Janney Montgomery Scott:
Rajiv Bansal:
Joseph Foresi - Janney Montgomery Scott:
Rajiv Bansal:
S.D. Shibulal:
Operator:
Moshe Katri - Cowen and Company:
Rajiv Bansal:
Moshe Katri - Cowen and Company:
S. D. Shibulal:
Moshe Katri - Cowen and Company:
Rajiv Bansal:
Moshe Katri - Cowen and Company:
B. G. Srinivas:
Moshe Katri - Cowen and Company:
B. G. Srinivas:
Moshe Katri - Cowen and Company:
Operator:
Anantha Narayan – Credit Suisse:
Rajiv Bansal:
Anantha Narayan – Credit Suisse:
Rajiv Bansal:
Anantha Narayan – Credit Suisse:
Rajiv Bansal:
Anantha Narayan – Credit Suisse:
Operator:
David Grossman - Stifel Nicolaus:
S.D. Shibulal:
David Grossman - Stifel Nicolaus:
S.D. Shibulal:
David Grossman - Stifel Nicolaus:
S.D. Shibulal:
David Grossman - Stifel Nicolaus:
S.D. Shibulal:
David Grossman - Stifel Nicolaus:
S. D. Shibulal:
Rajiv Bansal:
Operator:
Jesse Hulsing - Pacific Crest Securities:
S. D. Shibulal:
Jesse Hulsing - Pacific Crest Securities:
S. D. Shibulal:
Jesse Hulsing - Pacific Crest Securities:
S. D. Shibulal:
Jesse Hulsing - Pacific Crest Securities: Okay. Thanks. And to follow-up on previous questions about Sandy. Were you able to quantify Sandy's impact on the quarter? You've mentioned that you it was difficult inter-quarter. Looking back, have you been able to put a number on how many hours clipped out due to Sandy?
Rajiv Bansal: As Shibu was referring earlier, we were able to mitigate most of it and the impact of Sandy has been very negligible on us.
Jesse Hulsing – Pacific Crest Securities: Okay. Thanks guys.
Operator: The next question is from David Koning from Baird. Please go ahead.
David Koning – Robert W. Baird: Hey guys. Just following up I guess on the last question a little bit too on the core ADM work. I know that's kind of your most I guess stable recurring business and I think your biggest offering too. That did go into negative mode this quarter. I think it declined 3% year-over-year, first decline in about four or five years. I guess what's the confidence that that picks up again? And maybe you can just go through why it did decline this quarter.
S. D. Shibulal: I wouldn't read it as a secular trend. First of all many of the deal wins which we had this quarter are in the bid space. Now this whole thing about ADM, focusing on ADM, going forward may not be the right approach because we will look at bids as a portfolio and the boundaries are soft. That's the whole purpose of looking into the portfolio. If you keep such hard boundaries for people or for revenue, the benefit of that service line or the offering, do not reach the clients. So it's actually a porous, slightly porous boundary line. From a bit perspective, which is actually a combination of application development and maintenance infrastructure, independent validation. BPO, I think that will be a core offering from our side and it will continue to grow. It is a must for it to grow because that is our largest offering, 60% of our business comes from there. So it has to grow.
David Koning – Robert W. Baird: Okay, great. And then I guess one other thing, just the other income line that was $92 million this quarter, how much of that is core interest income? Just so we know how to model that going forward because I know there is a lot of moving parts in that line. Just wanted to know what the core part of that $92 million is?
Rajiv Bansal: No. Almost all of it is interest income. We did not have any impact of Forex into this kind of non-operating income.
David Koning – Robert W. Baird: Okay, great. Thank you.
Operator: The next question is from Rod Bourgeois from Bernstein. Please go ahead.
Rod Bourgeois – Bernstein: Yes guys. So you received a major boost from the rupee (inaudible) mid-2011, when the rupee really began to depreciate, yet margins have dropped and they still seem to be dropping heading into the March quarter. So I guess the question is, where has your expense structure changed since mid-2011 or if the expense structure is not materially changed, then is there something that's happened on pricing on like-for-like deals even though your overall reported pricing has held up?
Rajiv Bansal: Well, there are two factors which have contributed to the drop in margins if you normalize for the rupee depreciation which has taken place. One is definitely pricing our year-on-year margin – our pricing has actually dropped by about 3.5%, which is quite significant and which flows into the bottom line. And second is also with respect to utilization. If you’re comparing with 2011, 2012, our utilization used to be in the high 70s and roughly about 79% to 80% if I remember right and today we're operating at about 71% utilization. So these two, the pricing is impacted about 3.5%, you had utilization drop of about 9% and these two very determinedly are slowing the operating margins. If you look at it, we have been able to mitigate some impact of it because of the drop in operating margin is roughly about 2.5%, though if you look at the pricing about 3.5%, utilization drop by 8%, it would have been much more.
Rod Bourgeois – Bernstein:
S. D. Shibulal:
Rod Bourgeois – Bernstein: This is B.G. With respect to Europe, while there is definitely the macro overhang and the challenges and the uncertainties will continue into this calendar year, it's very difficult to predict on a medium-term to long-term basis how the scenario will pan out. However, currently what we are seeing is, there is less of panic, there is relatively stable environment within our clients. The clients are in the process of finalizing their budgets. The early indicators – though the budgeting process is not complete, the early indicators are flat to negative and that is the data points we have today. So we presume if the environment continues to be stable and that the deal making cycle continue as business as usual, then there is possibility of an upswing in the revenues for the year. But this is something we need to watch on a quarterly basis. It's difficult to predict in the medium-term and this is something we are watching closely. We continue to make investments into Europe in terms of accessing markets, both in Continent and in U.K. In terms of other markets, we are seeing new initiatives in client activity, both in Financial Services and Manufacturing in the Nordics. That's an area which we will look into as we go into our fiscal year starting March.
Rajiv Bansal: This is B.G. With respect to Europe, while there is definitely the macro overhang and the challenges and the uncertainties will continue into this calendar year, it's very difficult to predict on a medium-term to long-term basis how the scenario will pan out. However, currently what we are seeing is, there is less of panic, there is relatively stable environment within our clients. The clients are in the process of finalizing their budgets. The early indicators – though the budgeting process is not complete, the early indicators are flat to negative and that is the data points we have today. So we presume if the environment continues to be stable and that the deal making cycle continue as business as usual, then there is possibility of an upswing in the revenues for the year. But this is something we need to watch on a quarterly basis. It's difficult to predict in the medium-term and this is something we are watching closely. We continue to make investments into Europe in terms of accessing markets, both in Continent and in U.K. In terms of other markets, we are seeing new initiatives in client activity, both in Financial Services and Manufacturing in the Nordics. That's an area which we will look into as we go into our fiscal year starting March.
Operator: This is B.G. With respect to Europe, while there is definitely the macro overhang and the challenges and the uncertainties will continue into this calendar year, it's very difficult to predict on a medium-term to long-term basis how the scenario will pan out. However, currently what we are seeing is, there is less of panic, there is relatively stable environment within our clients. The clients are in the process of finalizing their budgets. The early indicators – though the budgeting process is not complete, the early indicators are flat to negative and that is the data points we have today. So we presume if the environment continues to be stable and that the deal making cycle continue as business as usual, then there is possibility of an upswing in the revenues for the year. But this is something we need to watch on a quarterly basis. It's difficult to predict in the medium-term and this is something we are watching closely. We continue to make investments into Europe in terms of accessing markets, both in Continent and in U.K. In terms of other markets, we are seeing new initiatives in client activity, both in Financial Services and Manufacturing in the Nordics. That's an area which we will look into as we go into our fiscal year starting March.
Mayank Tandon - Needham & Company: This is B.G. With respect to Europe, while there is definitely the macro overhang and the challenges and the uncertainties will continue into this calendar year, it's very difficult to predict on a medium-term to long-term basis how the scenario will pan out. However, currently what we are seeing is, there is less of panic, there is relatively stable environment within our clients. The clients are in the process of finalizing their budgets. The early indicators – though the budgeting process is not complete, the early indicators are flat to negative and that is the data points we have today. So we presume if the environment continues to be stable and that the deal making cycle continue as business as usual, then there is possibility of an upswing in the revenues for the year. But this is something we need to watch on a quarterly basis. It's difficult to predict in the medium-term and this is something we are watching closely. We continue to make investments into Europe in terms of accessing markets, both in Continent and in U.K. In terms of other markets, we are seeing new initiatives in client activity, both in Financial Services and Manufacturing in the Nordics. That's an area which we will look into as we go into our fiscal year starting March.
B. G. Srinivas: This is B.G. With respect to Europe, while there is definitely the macro overhang and the challenges and the uncertainties will continue into this calendar year, it's very difficult to predict on a medium-term to long-term basis how the scenario will pan out. However, currently what we are seeing is, there is less of panic, there is relatively stable environment within our clients. The clients are in the process of finalizing their budgets. The early indicators – though the budgeting process is not complete, the early indicators are flat to negative and that is the data points we have today. So we presume if the environment continues to be stable and that the deal making cycle continue as business as usual, then there is possibility of an upswing in the revenues for the year. But this is something we need to watch on a quarterly basis. It's difficult to predict in the medium-term and this is something we are watching closely. We continue to make investments into Europe in terms of accessing markets, both in Continent and in U.K. In terms of other markets, we are seeing new initiatives in client activity, both in Financial Services and Manufacturing in the Nordics. That's an area which we will look into as we go into our fiscal year starting March.
Mayank Tandon – Needham & Company: Also any comments on the regulatory side and also in terms of captive strategy?
B. G. Srinivas : Okay. The regulatory side, obviously from a Financial Services and Telco, they have the industries which will continue to invest into introducing new controls and the back systems which it supports. This is an area where we are also focusing on. However, it's again difficult to predict the discretionary spend which will go into this, but we are already working with our clients in some of these initiatives and we are also bringing in expertise to help clients actually deploy these new control measures with less overall cost of implementation, also leveraging technology. But again, like I said, while these are areas of focus, we will definitely see a revenue stream occurring because of investments in these areas. We are also looking at some of the initiatives within our clients on risk management and that's an area of focus as well. Even then overall environment in Financial Services and Telcos are under significant cost pressures. The initiatives are also on cost pickup measures. That’s something and again an area that we are looking into.
Mayank Tandon – Needham & Company: Finally, just wanted to get a sense of strategy around captives. It seems like there are opportunities to buy captives to scale up the BPO side. I wanted to see if that would be one of the priorities looking into 2013 for Infosys?
Swami Swaminathan: Hi, it’s Swami here. Yes, from a BPO growth standpoint, the growth engines are really both – all three lines, which is really organic, inorganic and as well as captives. If you remember, recall 2007 we had picked up the Philips captives and that journey is pretty much on. So the road that we are seeing in obviously coming across on all three streams of activity and initiative that we regularly launch. So, very clearly, in this year, we obviously have also started to look at emerging economies pretty closely. We have launched four geo business units. You have an India business unit and LATAM business unit. You have the Eastern Europe business unit and an Asia Pacific business unit which really focuses on selling solutions and propositions to corporations and to governments in these emerging economies. So, as a part of that obviously we continue to scan the environment on captive opportunities which we believe is a value that we can pretty much add and leverage.
Mayank Tandon – Needham & Company: Great. Thank you.
Operator: Thank you. Ladies and gentlemen, due to time constraints, that was the last question. I now hand the conference back to Mr. Sandeep Mahindroo for closing comments.
Sandeep Mahindroo: Thanks everyone for spending time with us. We look forward to talking to you again over the next few weeks. Thanks and have a good day. Bye.
Operator: Thank you members of the management team. Ladies and gentlemen, that concludes this conference call. Thank you for joining us and you may now disconnect your lines. Thank you.